Operator: Ladies and gentlemen, thank you for joining us, and welcome to the Nordson Corporation Third Quarter Fiscal Year 2025 Conference Call. [Operator Instructions] I will now hand the conference over to Lara Mahoney. Lara, please go ahead.
Lara L. Mahoney: Good morning. This is Lara Mahoney, Vice President of Investor Relations and Corporate Communications. I'm here with Sundaram Nagarajan, our President and Chief Executive Officer; and Dan Hopgood, Executive Vice President and Chief Financial Officer. We welcome you to our conference call today, Thursday, August 21, to report Nordson's fiscal 2025 third quarter results. You can find both our press release as well as our webcast slide presentation that we will refer to during today's call on our website at www.nordson.com/investors. This conference call is being broadcast live on our investor website and will be available there for 30 days. During this conference call, we will make references to non-GAAP financial metrics. We've provided a reconciliation of these metrics to the most comparable GAAP metric in the press release issued yesterday. Before we begin, please refer to Slide 2 of our presentation, where we note that certain statements regarding our future performance that are made during this call may be forward-looking based upon Nordson's current expectations. These statements may involve a number of risks, uncertainties and other factors as discussed in the company's filings with the Securities and Exchange Commission that could cause actual results to materially differ. Moving to today's agenda on Slide 3, Naga will discuss third quarter highlights. He will then turn the call over to Dan to review sales and earnings performance for the total company and the 3 business segments. Dan will also discuss the balance sheet and cash flow. Naga will then share a high-level commentary about our enterprise performance and provide an update on the fiscal 2025 full year guidance. We will then be happy to take your questions. With that, I'll turn to Slide 4 and turn the call over to Naga.
Sundaram Nagarajan: Good morning, everyone. Thank you for joining Nordson's fiscal 2025 Third Quarter Conference Call. In the quarter, the Nordson team responded effectively to dynamic demand conditions in the key end markets. This generated sales of $742 million, which is above the midpoint of our guidance with solid contribution from both organic and inorganic growth. The Advanced Technology Solutions segment was a big contributor to this performance, delivering a second consecutive quarter of double-digit organic sales growth. Operational excellence drove strong profit performance, increasing adjusted earnings per share by 13%, and EBITDA by 15% compared to prior year. The third quarter was the final full quarter of Atrion's first year post acquisition. As you will recall, we closed the Atrion acquisition on August 21, 2024, expanding Nordson's Medical portfolio into proprietary medical infusion fluid delivery and niche cardiovascular solutions. In the quarter, our employees again exceeded expectations and contributed to both sales and earnings results. This is the result of commercial scale that Nordson has brought to the business as well as the positive market acceptance of the product portfolio. Their operational performance reflects solid execution of the integration plan as well as the ongoing deployment of NBS Next. I would also like to highlight our free cash flow of $226 million and cash flow conversion of 180% of net income during the quarter. This represents record quarterly free cash flow and was driven by a focus on sustainable working capital improvements. We used this cash to reduce debt, repurchase shares and return dividends to the shareholders, all the while continuing to invest in the company. I will speak more about the enterprise performance in a few moments. But first, I'll turn the call over to Dan to provide detailed perspective on our financial results for the quarter.
Daniel R. Hopgood: Thank you, Naga, and good morning, everyone. On Slide #5, you'll see third quarter fiscal 2025 sales of $742 million were up 12% from the prior year third quarter sales of $662 million. As Naga mentioned, the Atrion acquisition continues to perform above expectations and contributed 8% to our growth in the quarter. Total organic sales increased 2% and we're up 3% if you exclude the medical contract manufacturing business that is now treated as held for sale. Our organic performance includes contributions from both our Advanced Technology and Medical and Fluid Solutions segments during the quarter. We also had a positive year-over-year currency impact of 2% in the quarter, adding to that performance. Gross profit in the third quarter was $407 million, a healthy and consistent 55% of sales. Our SG&A leverage improved year-over-year, leading to a 15% improvement in operating profit, adjusted for acquisition-related costs and amortization and charges associated with the exit of our medical contract manufacturing business. EBITDA was $239 million or 32% of sales. This represents a 15% increase in EBITDA dollars and a 70 basis point improvement over the prior year third quarter. EBITDA growth continues to benefit from strong incrementals in our ATS segment as well as contributions from the Atrion acquisition. It's worth noting that in a very dynamic trade environment, our margin performance remains consistent and is a continued strength of the company. Looking at nonoperating expenses. Net interest expense was $26 million, an increase of $8 million versus the prior year, driven by higher year-over-year debt levels tied to the Atrion acquisition. Other expenses increased $3 million, primarily reflecting higher foreign exchange transactional losses compared to the prior year. And our tax expense on a U.S. GAAP basis was $33 million. This represents an elevated effective tax rate of 21% in the quarter and reflects discrete nondeductible charges, namely the write-down of allocated goodwill associated with the pending exit of the medical contract manufacturing business. Excluding this discrete item, our effective tax rate on an adjusted basis was 19% and remains in line with the low end of our guidance range for fiscal 2025. Net income in the quarter totaled $126 million or $2.22 per share. Excluding acquisition-related costs and amortization and charges associated with the exit of the medical contract manufacturing business, adjusted earnings per share totaled $2.73 per share, $0.08 above the midpoint of our quarterly guidance and a 13% increase from the prior year adjusted earnings per share of $2.41. This improvement in year-over-year earnings reflects the strong operational execution on higher sales as well as accretive contribution from the Atrion acquisition. Now let's turn to Slides 6 through 8 to review the third quarter 2025 segment performance. Industrial Precision Solutions sales of $351 million increased 1% compared to the prior year third quarter. While improving sequentially from the second quarter, organic sales decreased 2% compared to the prior year, offset by a 3% favorable currency impact. Broad-based growth across the segment, in particular, double-digit growth in precision agriculture and nonwoven systems was offset by continued weakness in our polymer processing product lines, where we continue to see lower end market systems demand versus 2024. EBITDA for the segment was $130 million in the quarter or 37% of sales, essentially flat to the prior year. If you turn to Slide 7, you'll see Medical and Fluid Solutions sales of $219 million increased 32% compared to the prior year's third quarter. Growth was driven by the acquired Atrion business, which delivered $52 million in revenue in the quarter. Excluding the pending divestiture, organic sales increased 4% in the quarter, led by improvements in our medical fluid components and fluid solutions product lines. Importantly, sales in our interventional solutions business continued to improve sequentially from the second quarter as expected and were flat compared to the prior year as we continue to move past the recent destocking trends. EBITDA for Medical and Fluid Solutions was $83 million or 38% of sales, which was an increase of 34% from prior year EBITDA of $62 million. The increase was driven by strong conversion on Atrion sales and SG&A leverage in the core businesses. Turning to Slide 8. You'll see Advanced Technology Solutions sales were $171 million, a 17% increase compared to the prior year third quarter. The 15% organic sales increase was driven by double-digit growth in electronics dispense product lines, driven by demand across Asia Pacific as well as growth in our optical sensors and our measurement and controls businesses. This was partially offset by weakness in X-ray Inspection system sales during the quarter. Third quarter EBITDA was $42 million or 24% of sales, which represents an increase of 35% compared to the prior year third quarter EBITDA of $31 million or 21% of sales. The improvement in EBITDA margin was driven by strong operational execution on sales growth, representing a 42% conversion rate on incremental sales volume. Finally, turning to the balance sheet and cash flow on Page 9. At the end of the third quarter, we had cash on hand of $148 million and net debt was about $2 billion. Importantly, we continue to sequentially improve leverage quarter after quarter, driven by both EBITDA growth and a reduction in net debt, improving our leverage ratio from 2.5x at the start of the year to 2.2x at the end of the third quarter. Our free cash flow generation reached a record $226 million during the quarter, resulting in a 180% conversion rate on net income for the quarter and a year-to-date cash flow conversion rate of 140%. The strong cash conversion was driven by operational improvements in working capital, an area of emphasis in this dynamic environment. In the quarter, and in line with our balanced capital deployment strategy, we reduced net debt by over $100 million, repurchased over $70 million in shares, paid $44 million in dividends to our shareholders and spent $12 million on capital investments to continue driving organic growth. In summary, we had a strong operational quarter, and our team delivered on their commitments despite ongoing uncertainty in geopolitical and trade policies. While market conditions remain mixed for some of our businesses, we're well positioned to capitalize on profitable growth opportunities, and our operational execution continues to be a strength for the company. With that, let's turn to Slide 10, and I'll turn the call back to Naga.
Sundaram Nagarajan: Thanks, Dan. I'm very proud of the Nordson team and how they have been able to deliver for our customers in this dynamic environment. As highlighted on Slide 10, our strong growth portfolio, high recurring revenues, diversified niche end markets, close to the customer model, proprietary differentiated products and NBS Next framework positions us well for long-term growth. Turning to Slide 11. I'd like to take a few moments to talk about what we're seeing in the end markets as we enter our fiscal 2025 fourth quarter. Starting with our Industrial Precision Solutions segment. We continue to see sustaining investments in packaging and nonwoven end markets. Precision agriculture demand is improving in Europe and South America, given the strengthening demand for increasing yields and quality in these regional markets. Throughout the year, there has been weakness in our polymer processing systems, and we believe this business has hit its trough. Industrial Coating Solutions Systems are sequentially improving, but cold material product lines for automotive systems continue to be weak. Through it all, aftermarket parts remains a stable part of the IPS revenue portfolio, mitigating sales weakness and supporting margins. Overall, we expect the IPS segment to improve sequentially and return to normal growth rates as selected markets stabilize. In Medical, our core business is returning to growth. Throughout the year, our medical fluid component product lines have returned to high single-digit growth. The interventional solutions portfolio is normalizing after several quarters of de-stocking, and we expect this business to return to normal organic growth in fiscal 2026. The demand drivers fueling this end market, such as the aging population and shift toward noninvasive surgeries have not changed, and our Medical team has a healthy pipeline of customer projects. In ATS, this is our second consecutive quarter of double-digit organic growth. The work that our ATS team did to reposition our product portfolio and regional manufacturing has allowed us to be where our customers need us to be as supply chain shift for electronics assembly. We're also winning share based on our ability to deliver products in incredibly short lead times. This would not have been possible before we holistically applied NBS Next. In addition to being located close to the customer, our products deliver leading productivity and quality in complex advanced packaging applications of semiconductors used for AI, cloud computing and more. Our applications are largely at the back end of the semiconductor packaging process, and we are experiencing that demand now. Demand in this business inherently is lumpy based on the needs and timing of our customers. Through the cycle, we expect long-term growth drivers will remain attractive, while also appreciating that we will start to come up against tougher comparisons starting in the fourth quarter and that the automotive exposure within our electronics portfolio continues to be weak. Regardless of the end market dynamics, we have continuously demonstrated resilience and the ability to deliver solid growth and best- in-class profitability. Our NBS Next growth framework ensures new products are growing source of organic growth and competitive advantage. I would like to highlight a few of them. The Nordson Spectrum S2 is the industry standard for electronics underfill applications, continues to win share in the market, particularly as customers move into new regions. Its quality, accuracy and ease of use make it a trusted resource, and our teams continue to build upon its strong foundation for today's standards. Our Industrial Coatings business has launched the first of a multiyear platform rollout of new global controls for its powder coating systems. This new control system has a plug-and-play feature that would simplify operations and improve ease of use for our customers. Finally, I would like to highlight the new Nordson MEDICAL PharmaLok Zero clamp, which is a great example of the continued innovation in fluid components. This proprietary clamp ensures consistent sealing, eliminating leaks with any fittings on the market and improving assembly time for biopharma customers. We also remain focused on operational execution. As I mentioned earlier, we are very pleased with the integration of Atrion acquisition, which contributed to the adjusted earnings per share during the quarter. That is a year earlier than originally expected. We knew there were opportunities for operational efficiency when we acquired this business. And the team's holistic implementation of NBS Next has accelerated those benefits. In businesses where we are experiencing weaker customer demand, we have implemented targeted restructuring to adjust cost structure. These actions have been substantially completed and are expected to provide ongoing annual benefits of over $15 million by 2026. Our growth framework ensures we remain intentional about where we focus within our product portfolio. As we noted last quarter, we plan to divest the contract manufacturing portion of our medical device product line. That transaction is expected to close in the fiscal fourth quarter. Exiting these product lines will increase our focus on higher value proprietary medical components, including devices from the recent Atrion acquisition. Finally, as Dan mentioned earlier, a strong balance sheet allowed us to take advantage of the dynamic market conditions in the third quarter and accelerate share repurchases. Year-to-date, we have bought back $212 million in shares. I'm also pleased to share that our Board of Directors has approved a new authorization to repurchase $500 million in shares, bringing our total remaining authorization to approximately $800 million. In the quarter, we also reduced our leverage to 2.2x EBITDA, well within our long-term target. This demonstrates our ongoing commitment to a balanced capital deployment strategy. Turning now to outlook on Slide 13. Benefiting from the strong third quarter, we now expect to be slightly below the midpoint of our full year sales guidance, inclusive of the pending divestiture of our medical contract manufacturing business. On earnings, we expect to be slightly better than the midpoint of our full year guidance based upon our strong operational execution and ability to maintain margins in this dynamic environment. As always, I want to thank our customers and shareholders for your continued support. In particular, I want to thank our Nordson employees who are passionate about meeting the needs of our customers. Your efforts show. With that, we will pause and take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Jeffrey D. Hammond with KeyBanc Capital Markets.
Jeffrey David Hammond: So I just wanted to get a better feel for what you're seeing from an order momentum standpoint across the businesses, particularly, I guess, ATS, where you've built some momentum and now you're talking about a little bit tougher comps. And then Medical, as we kind of get through the destocking and maybe just some color around the backlog down sequentially. Is that a function of timing or some air pockets in the order book?
Sundaram Nagarajan: Yes. We'll split it 2 ways here, Jeff. Let Dan first take the question around backlog initially, and then I'll give you sort of color of the end markets in a broader way. Dan, do you want to get started?
Daniel R. Hopgood: Yes. So I wouldn't overreact to the slight reduction in our backlog quarter-to-quarter. I think some of that is really a factor of strong shipments during the third quarter. What I would say in general, Jeff, is we're seeing good stability in order intake across our businesses. You asked particularly about Medical. I would say, we're seeing good ongoing activity in our Medical businesses. ATS, again, as I think Naga mentioned in some of the opening comments, tends to be a little more lumpy, but we are seeing overall, what I would call, good stable demand in all 3 of our businesses. I wouldn't overreact to the backlog decline. I think that's really a function of timing of shipments. And what I would say in general is we're seeing good stability underlying our order patterns.
Sundaram Nagarajan: Yes. Okay. Let me give you a broad color of where we are seeing things and how it is showing up in our order entry, Jeff. Overall, as we look in to finish the end of the year based on our current order entry trends and backlogs, we are well positioned to deliver on the guidance, which is slightly below our midpoint for the revenue. That's sort of an overarching comment that I wanted to share with you. The second, if you go segment by segment, if you look at IPS, we see pretty strong and pretty steady order entry in packaging, nonwoven end markets. Our precision ag demand is very strong. And remember, this is a European-based business. We are market leaders in Europe and in South America. Both markets recovering nicely. For this business, order entry is looking pretty good there. PPS, which is our plastics business, still remains weak, but it has hit its trough. It is bottoming out. In our Industrial Coatings business, which is sort of the 2 system businesses that have been weak for the segment throughout the year. The powder systems side is pretty strong. But our automotive exposure here through coal materials remains weak. So IPS overall, other than the 2 system businesses in very good shape. If you think about MFS, the Medical segment, it is returning to growth. We have now had a couple of quarters of our medical fluid component business, high single-digit growth. In our interventional component business, what you find is the de-stocking has normalized, and we expect to return to growth here. This quarter, it was flat. And without -- if you exclude our pending divestiture, this business would have had a 4% organic growth. And our Fluid Solutions division is doing fairly well. It is steady. This is a little bit related to electronic momentum in this business. In terms of ATS, continued strong order entry backlog, well positioned as we go into the fourth quarter. Look, this business, we have always shared with you, it is a lumpy business. But the momentum for this business in terms of both semiconductor packaging investments, high reliability electronics, PCBA, electronic equipment, pretty strong and solid. And if you think about another new secular trend that is benefiting the company, particularly in ATS, is the redesign of supply chain by some of our customers. So semiconductor on track, electronic PCBA, high reliability ones are doing well. And then third, you have -- we have benefits coming from redesign of supply chain as people designed to derisk to account for tariffs. So overall, I'll close with what I told you at the beginning, which is backlog order entry in a good place for us to deliver on the revenue guidance that we shared with you today.
Jeffrey David Hammond: Okay. And then just a follow-up on ATS. I mean I understand maybe some lumpiness timing in 3Q from 4Q. And then maybe a tougher comp or maybe still an easy comp into 4Q. But it still seems like we're coming out of a multiyear down cycle. And I just want to make sure I'm reading that right.
Sundaram Nagarajan: Yes, you are reading that right. We are coming out of a multiyear, and we're -- but the cycle has begun, right? We've now had 3 or 4 quarters of growth. Okay, one back and down. The best way to think about it is, look -- look at the 9 months of ATS, it has grown 8%, okay? First quarter was down, second quarter pretty nicely up, third quarter really nicely up. So if you start to think about that, yes, you're reading it right. We are at the beginning of a multiyear growth here.
Daniel R. Hopgood: The growth prospects for ATS are intact, and we don't see that changing in the near term.
Operator: Your next question comes from the line of Michael Pesendorfer with Baird Equity Research.
Michael J. Pesendorfer: Pez on for Mike. So I just want to follow up on Jeff's question on ATS here. We've heard some rumblings on pull forward in the semiconductor complex. And I just want to make sure that I'm reading your comments correctly. You're talking about an improvement in the cycle and things starting to take off. So help me understand your assumptions sequentially into the fourth quarter as it relates to ATS. And maybe help us with a little bit of color across dispense and T&I across Acoustic, X-ray and 3D Optical?
Daniel R. Hopgood: So yes, maybe just go back to some of the nice comments. Well, I'll start with the pull-ahead comment. We're not seeing direct evidence. And when I say direct evidence, we're not getting requests from customers to accelerate orders or to accelerate activity. So there's no direct evidence at least from our activity of customers pulling things forward that I think the harder thing to put your arms around is, is there any inherent pull ahead in any of the capital cycles. But certainly, we're not seeing direct evidence or requests from customers to pull anything forward. Yes, I think if I look across the businesses, we're seeing pretty broad-based demand in our electronics dispense products. We're seeing -- we've been seeing good solid demand from our Acoustic and Optical products throughout the year. And if I look at our pipeline and our activity, we really don't see that changing. Again, Naga's -- I will go back to Naga's point, there tends to be some lumpiness and could be some lumpiness quarter-to-quarter with some of these capital cycles. But from an underlying demand standpoint, we see good stable demand in these markets.
Sundaram Nagarajan: A couple of things -- Dan, sorry to interrupt, but if could add. One of the things to remember is in this business also what matters is new products. What matters is customers' demands, customers' new applications and Nordson being really strong in delivering on solving customers' new problems. So we have a number of new products that are getting launched in this business that are meeting the needs of ever more complex chips that our customers are making. And so we feel really good about this business and feel really good about where we are headed in the cycle. But continue to remind you, quarter-to-quarter, there is going to be back and forth of orders and -- what we want to do is make sure we take care of the customer when they want us, where they want us. And that is super important in this business. If you look back and think about how Nordson wins, Nordson wins with technology. New product is essential, but at the same time, we have added operational excellence as a core capability for the company and that is allowing us to win share when it is available. And third is agility. Our teams are incredibly agile. And so what you see in the third quarter is a great evidence of agility of the entire Nordson team, but particularly the ATS team, where we have moved things around to deliver on what the customer wanted, when they want it, where they want it, right? And I think in that way, I would tell you, I feel really good about where we are, and I feel really good about where we are headed.
Michael J. Pesendorfer: That's super helpful color. I appreciate that, Dan and Naga. Maybe switching gears a little bit. Obviously, the balance sheet in great shape, the increase in the share repurchase authorization. Can you maybe comment a little bit on how you see the M&A funnel today? Where you're spending your time and the level of opportunity? Should we be reading the share repurchase authorization as the M&A funnel maybe being a little bit tougher? Or is that more of just a broad-based comment on how you're approaching capital allocation?
Sundaram Nagarajan: Yes. The way to think about, Pez, is that we have -- in our Investor Day, we committed to a balanced capital allocation strategy. So what you see play out throughout this year is a very balanced approach. We did see an opportunity in the quarter with where the market is at and where our valuation at. It made sense for us to continue to buy back share, and that's what we've done. Year-to-date, we have repurchased about $212 million in shares. And the new authorization gives us more flexibility as we go into the rest of the year. Commenting on the M&A, our pipeline is healthy. Our pipeline is healthy. We continue to work opportunities. But look, we're going to be really disciplined around what strategic assets we would acquire as well as what we would pay for them and financially being disciplined about them. So no change in our approach or posture to acquisitions, but acquisitions is something we don't control, right? Things come to market when they come to market. And if it makes sense for us, we certainly do. I would take a moment to just think about Atrion, right? It is about a year since we have acquired Atrion. This is a commercial and operational success story for the company, right? And if you stop and think about where we are at on Atrion, we are now EPS accretive a year ahead of schedule, right? And so our posture on acquisition remains the same. It is a balanced approach. Over a period of 3 or 4 years, what you're going to find the company is have balanced organic and balanced acquisition. So the new authorization shouldn't be read into any difference in our approach to acquisitions.
Operator: [Operator Instructions] Your next question comes from the line of Edward Magi with BNP Paribas.
Edward James Magi: This is Ed on for Andrew. The latest sales guidance for slightly below the midpoint seems to be slightly better than your prior guidance of saying low end, but that commentary from Q1, Q2 came from when tariffs have been maybe weighing a little bit more on sentiment. And after the solid Q3, wondering if you guys could have perhaps improved the outlook a little bit more with today's tariff situation looking a little bit better than it did during those prior guidance.
Daniel R. Hopgood: Yes. So I appreciate the question. Maybe I'll just start with a bit of a recap, right? So look, we had a slow start to the year, as you'll recall, with our first quarter sales being softer than expected. And at that point, we've guided that we would be on the lower end of our sales revenue guidance. And so 2 quarters later, in particular, after finishing out a strong third quarter, I think you're correct to take away that we're improving our outlook slightly, not saying that we'll just be slightly below the midpoint. And that also incorporates closing on the sale of our CDMO business during the fourth quarter. So that -- taking that into account, you're correct in assuming that there's a slight improvement in our sales outlook, largely driven by the performance that we saw in Q3. And at this point, I would say we're very comfortable holding our outlook for the fourth quarter.
Sundaram Nagarajan: And I think just as a reminder, think about the economic environment that we are living in, it is still a very dynamic environment with a number of uncertainties still out there. Sure, the tariff situation, we continue to gain clarity every day. But it's still uncertain. That's sort of what we see in our customers' behavior. So the way we are thinking about it is, look, dynamic environment, Nordson fully participating in market momentum where it exists and delivering 1 quarter at a time. And that has served us well and will continue to serve us well in this environment. So...
Edward James Magi: Yes. Very helpful. And then an unrelated follow-up. With regard to the divestiture charges, are you able to unpack what went into that $12 million? And then is there anything else we can expect to see in the fourth quarter, assuming that closes on track?
Daniel R. Hopgood: Yes. The charge, roughly $12.2 million is essentially writing the business to estimated fair value less cost to sell, pending the actual close of the deal in the fourth quarter. There's also some small restructuring charges included in that to kind of wrap up and exit a couple of small pieces of the business. And so I would think of that as a onetime charge. Certainly, the actual closing will be -- and the value will be dependent on final working capital and truing up a few items. But I wouldn't expect any material change that $12.2 million as we actually close the deal in the fourth quarter.
Operator: Your next question comes from the line of Walter S. Liptak with Seaport Research Partners.
Walter Scott Liptak: So in the ATS segment, there was some good discussion and Naga you brought up new product development. And I wonder if we can try and tie something together. AI is a fairly powerful new technology. And you have a lot of exposure on the consumer side, not just automotive, but a whole bunch of consumer products that have electronics. Are you seeing your consumer products companies start to do redesign where they can make smart products that leverage the AI tech?
Sundaram Nagarajan: Yes. Look, AI is still evolving for many of our customers. And in terms of our own view of AI is certainly very bullish in terms of what it brings in terms of value to the customers as well as ourselves. Yes, we do see people wanting to figure out how to use AI and how to create value. The way we think about value is really for AI is 3 things. One, it starts with customer value creation. We have a couple of ideas, I would say, at this stage. It is more ideas that we are working on that will allow our customers to use our own products in a much more effective, much more productive ways. And particularly we have new software subscription services in our X-ray business. Very early stages, very early stages. But super exciting as to how our teams are beginning to use AI to create value. In terms of AI for our own customers using them and how they will use our products, very early stages. Hope that answers your question, Walter.
Walter Scott Liptak: Okay. Yes, it does. And just switching gears to IPS. I was wondering if you could talk a little bit about the quote-to-order cycle. There's been like this pause going on because of all of the headwinds that we all know about. Are you seeing any improvement in kind of maybe the lifting of the pause?
Sundaram Nagarajan: Are you talking -- Walter, just a clarification. I assume you're talking about people's sentiments around ordering or placing orders for systems. Is that what you're talking about?
Walter Scott Liptak: Yes. For larger systems, it just seems like generally, there's a reluctance to put capital to work just because of the tariffs specifically and not knowing what the rules are going to be.
Sundaram Nagarajan: Yes. I would -- if you look at our IPS business, if you think about the magnitude of the spend, vast majority of our IPS businesses, right, around 60%, 70% of the business, we seem to be in a fairly good place in terms of orders coming in, where if you think about packaging, nonwovens, product assembly, many of our businesses, which have still system sales, 50% system sales, there, we don't see major pauses. We seem to be doing okay. And that -- but if you look at our Plastic Processing business and our Industrial Coatings business, both we do see pauses by our customers. Order entry is muted for systems, but if you look at our customer pipeline, they're very robust. Nobody in our customer pipeline saying, "Look, I don't want that anymore." It is that people are not placing orders. So larger system orders, you're right. We are seeing people delaying their own order placement. So still some caution, I guess is...
Daniel R. Hopgood: Yes. And just to add maybe one more piece of color, I would say, in plastics, in particular, we have seen some rebuilding of that pipeline, certainly from earlier in the year. So we are seeing activity back up or rebound. I think Naga made the comment. We feel that, that business has hit the trough. We are seeing that in our backlog, certainly not at levels that we've seen in prior years yet, but we are seeing recovery in order activity, although we are also seeing some of our pipeline activity get pushed out.
Sundaram Nagarajan: Yes. And the other thing to remember about IPS, look, this is a business with some significant recurring revenue, right, more like 50-50. So if you think about system parts, a significant part of the IPS segment in fairly good shape. It is the large system businesses that are -- have this order issue, but you also have these businesses now starting to get to the bottom of the trough, not getting any worse other than the automotive -- small automotive exposure in ICS, that is still weak. But all in all, you take all of that together, we still feel pretty good about where we are sitting here today in terms of order entry and in terms of backlog to be able to meet what we were sharing as in our revenue guidance.
Operator: Your next question comes from the line of Brad Hewitt with Wolfe Research. [Operator Instructions]
Bradley Thomas Hewitt: So it seems like your outlook is for organic sales to be flat to slightly down year-over-year in Q4. I think that would imply a little bit of a deceleration on a 3-year stack basis. I know ATS has a tough comp in Q4, but maybe any additional color on what's driving that expected deceleration in Q4 would be helpful.
Daniel R. Hopgood: Yes. So to your point, I think if you look at a couple of our businesses, in particular, even our systems businesses, we have some tough year-end comps, plastics being one of them, as an example. And so sequentially, if you kind of peel back our guidance, we are seeing a modest uptick Q3 to Q4, so continuing to build sales momentum. From a year-over-year standpoint, I think Q4 is a tougher comp for some of our systems businesses. And so I think that's what you're seeing in kind of the year-over-year growth rate. But not really -- certainly not a deceleration from where we've been running, where -- if you peel back our guidance, it would indicate a modest uptick in the fourth quarter from what we've seen in Q3. From a year-over-year standpoint, it's a little bit more muted, but that's largely driven by some of the systems demand and deliveries that we had in the fourth quarter last year.
Bradley Thomas Hewitt: Okay. That's helpful. And then as we think about ATS margins, is that segment sort of at a normalized run rate in the 24% to 25% zone sort of in the absence of more material step-up in systems demand? As we think about FY '26, would you expect ATS incremental margins to be in line with the total company level or maybe even a little better?
Sundaram Nagarajan: Well, look, this is a business, we have repositioned the business during the downturn at the last downturn. And so what you're experiencing right now is a pretty strong incremental performance, which is a little bit better than the rest of the company. At the current revenue run rates, the 24% seems reasonable, but I wouldn't go any further than that because remember, this is a business that depends on new products and continuous investment in new products. So here, the SG&A load is far greater than everywhere else. Our investments in new products are more like 14%, 15% of revenue, which is very different from our other businesses. So I wouldn't want you to get too far ahead of ourselves here, but the 24% EBITDA, 24%, 25% seems reasonable.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call back to Naga for closing remarks.
Sundaram Nagarajan: Thank you for your time and attention on today's call. We have several upcoming investor events where our team would be happy to meet with you, including the Jefferies Industrial Conference in New York on September 4, the Morgan Stanley Annual Laguna Conference on September 10 and an upcoming virtual road show with Loop Capital on October 13. Nordson is well positioned in this dynamic environment. Our close to the customer model, proprietary and niche technology, diversified geographic and end market exposure, high level of recurring revenue and a strong balance sheet are among many attributes that make us a quality compounder. Have a great day.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.